Operator: Good morning, ladies and gentlemen, and welcome to the Armada Hoffler AHH Third Quarter 2025 Earnings Conference Call. [Operator Instructions] This call is being recorded on November 4, 2025. I would now like to turn the conference over to Chelsea Forrest. Please go ahead.
Chelsea Forrest: Good morning, and thank you for joining Armada Hoffler's Third Quarter 2025 Earnings Conference Call and Webcast. On the call this morning, in addition to myself, is Shawn Tibbetts, President and CEO; and Matthew Barnes-Smith. CFO. The press release announcing our third quarter earnings, along with our supplemental package were distributed yesterday afternoon. A replay of this call will be available shortly after the conclusion of the call through December 4, 2025. The numbers to access the replay are provided in the earnings press release. For those who listen to the rebroadcast of this presentation, we remind you that the remarks are made herein as of today, November 4, 2025, and will not be updated subsequent to this initial earnings call. During this call, we may make forward-looking statements, including statements related to the future performance of our portfolio, out development pipeline, the impact of acquisitions and dispositions, our mezzanine program, our construction business, our liquidity position, our portfolio performance and financing activities as well as comments on our outlook. Listeners are cautioned that any forward-looking statements are based upon management's beliefs, assumptions and expectations taking into account information that is currently available. These beliefs, assumptions and expectations may change as a result of possible events or factors, not all of which are known and many of which are difficult to predict and generally beyond our control. These risks and uncertainties can cause actual results to differ materially from our current expectations, and we advise listeners to review the forward-looking statement disclosure in our press release that we distributed this morning and the risk factors disclosed in documents we have filed with or furnished to the SEC. We will also discuss certain non-GAAP financial measures, including, but not limited to, FFO and normalized FFO. Definitions of these non-GAAP measures as well as reconciliations the most comparable GAAP measures are included in the quarterly supplemental package, which is available on our website at armadahoffler.com. I will now turn the call over to Shawn.
Shawn Tibbetts: Good morning, and thank you for joining us as we review Armada Hoffler's third quarter results. Before getting into the results, I want to thank our Board of Directors for appointing me Chairman of the Board effective the beginning of the year. I appreciate their confidence in me and our leadership team. We've made meaningful progress this year and have completed much of the hard work required to position the company for a strong performance over the next several years. We are [Technical Difficulty] excellence across the platform. Our teams are laser-focused on strengthening systems, streamlining processes in leveraging technology for data-driven insights to enhance decision-making and portfolio performance. My priority is to ensure the market properly recognizes the unique value of our portfolio as we enter 2026 as a more focused, simpler, stronger REIT, for the balance sheet positioned for growth. Our progress includes aligning the dividend with property level cash flows, refreshing the leadership team, replacing a director and sharpening our focus on core operations. We also aligned our 2025 guidance with the planned reduction in fee income to better highlight the strength and stability of our recurring property earnings. We are confident in the strategic actions completed this year and remain focused on repositioning our model offer for sustained growth and long-term shareholder value creation. Our near-term objective is to demonstrate and unlock the value embedded in our real estate through continued consistent execution and transparent communication with investors. The Armada Hoffler portfolio continues to deliver consistent NOI growth, underscoring the quality of our assets and the consistency of our execution. At the same time, we are making progress enhancing the balance sheet quality and proactively managing our capital base including leveraging capital recycling opportunities that strengthen long-term growth and financial flexibility. Our strategic foundation remains centered on quality, a core value that guides how we operate and allocate capital. We remain focused on maintaining a high-performing portfolio, optimizing property level performance and delivering reliable results quarter after quarter. The third quarter results were solid across our portfolio. As outlined in our earnings release, we delivered normalized FFO of $0.29 per diluted share, supported by consistent outperformance across our commercial asset classes with overall portfolio occupancy averaging 96%, including 96.5% in office, 96% in retail and 94.2% in multifamily. These results underscore steady demand and durable performance across all segments. Property level income continues to outperform our 2025 guidance, which contributed to beating consensus for the quarter. As we outlined in previous quarters, we adjusted our outlook for construction activity this year and remain on track with those revised projections. Higher NOI, offsetting the construction adjustments has allowed us to maintain a 2025 normalized FFO guidance target range, consistent with the original 2025 guidance target range, which we are narrowing to $1.03 to $1.07 per diluted share. This reflects our continued execution of the strategic shift away from reliance on fee income into an earnings stream predominantly reliant on higher-quality recurring property level earnings. Now let me take a few minutes and walk through our key sectors. From a broader market perspective, fundamentals remain supportive for retail. Vacancy remains close to record lows. New supply is constrained and retailers continue to show strong preference for high-traffic, open-air centers and grocery-anchored formats. According to Green Street retail pricing per square foot posted double-digit annual growth in the second quarter, reinforcing our bullish view of this asset class. Our retail portfolio continues to demonstrate strength and resilience, supported by a focused strategy of owning properties located within submarkets where we can leverage or create a competitive advantage. Across these locations, we actively extract value through leasing, tenant reconfiguration and redevelopment initiatives, positioning our centers to benefit from broader national trends in retail. For the third quarter, our retail portfolio continued to exhibit these strong fundamentals. Renewal spreads averaged 6.5% on a cash basis, reflecting continued demand. Foot traffic across our centers, particularly at mixed-use destinations like Harbor Point and Southern Post rose 13% compared to the prior quarter, demonstrating the success of our leasing and place-making initiatives rooted in driving consistent consumer engagement and ultimately supporting rent growth. As we mentioned last quarter, we have filled all of our big box vacancies resulting from recent bankruptcies, including Conn's, Party City and Joann's with higher credit tenants. This includes downsizing Burlington and Southgate and Colonial Heights to make room for a national sporting goods retailer as well as backfilling Party City with Boot Barn and Joann with Burlington at Overlook Village in Asheville, strengthening the merchandising mix alongside anchors such as T.J. Maxx, HomeGoods and Ross. These transactions reflect broader retail market dynamics. Nationally, big box development has been limited with few new entrants targeting infill market. This constraint has elevated demand for existing well-located retail space. High-credit tenants are seeking locations with strong demographic, nearby residential density and complementary tenants that drive traffic. Our centers are meeting the criteria, allowing us to capture top of market rents on repositioned or retenanted space. At Columbus Village in Virginia Beach, we are nearing completion on reformatting the former Bed Bath & Beyond box to enhance the center with Trader Joe's and Golf Galaxy, both expected to open before the end of the year. This reconfiguration will increase rents by over 50% while enhancing the overall tenant mix and further strengthening the appeal of Town Center of Virginia Beach District. Overall, our retail strategy leverages market trends, tenant credit strength and experiential demand to position our portfolio for sustained outperformance. This knowledge-driven approach enables Armada Hoffler to proactively identify opportunities to optimize tenant mix, capture rent growth and maintain our centers as destination locations that attract customers and drive long-term value. On the office side, while the broader sector to navigate structural headwinds, the recovery is clearly bifurcating in favor of high-quality amenitized assets in desirable, well-located markets. Our holdings sit on the right side of that divide. We continue to see occupancy stability, leasing wins and renewal spreads that capture value for premium space. As supply constraints and tenant preferences tilt toward quality rather than square footage growth, we believe our positioning provides a distinct advantage. Our office portfolio is 96.5% occupied and few near-term expirations. Demand continues to favor office properties a walkable, amenity-rich, mixed-use environment where tenants benefit from retail, residential and dining access. We continue to see interest from firms relocating from older suburban parts to dynamic centralized locations, supporting the long-term value of our office assets. The former WeWork floor in One City Center is the largest contiguous vacant space in our portfolio, and we are seeing active interest. We recently announced a 12,000 square foot lease with Atlantic Union Bank at One Columbus and Town Center, bringing overall occupancy in Town Center to 99%. This stands in sharp contrast to the narrative seems in most major U.S. city, as office assets continue to demonstrate strong demand and sustained high occupancy, driven by their location within the region's premier mixed-use environment. Asking rents across Town Center assets now average nearly 30% above the broader Virginia Beach market across office, retail and multifamily, underscoring the effectiveness of our mixed-use strategy and the enduring strength of this district is a true live, work, play destination. Our multifamily portfolio continues to demonstrate resilience, supported by healthy leasing fundamentals and proactive management. During the third quarter, portfolio occupancy held at 94.2% in line with the second quarter. Effective lease trade-outs averaged 2.3% for the quarter with renewals averaging 4.3% trade out and new leases flat. These figures do not include the 22 units at Greenside that were offline during the quarter, up modestly from an average 19.7 units in the first and second quarters. Last quarter's reported occupancy included those units, so the current figures reflect a more accurate representation of stabilized performance. Multifamily projects starts to remain a critical factor in supporting fundamentals with construction lending down significantly compared to the 2020 to 2022 cycles, the market is moving towards improved balance. Elevated residential borrowing rights are also keeping renters in existing units, limiting turnover and maintaining occupancy stability across our portfolio. Year-over-year from September 2024 to September 2025, national average rents increased only 0.6%. Our stabilized multifamily properties outperformed this trend by approximately 50%, achieving 0.9% year-over-year rent growth, demonstrating the strength of our assets and the effectiveness of our proactive management approach. At Allied Harbor Point, leasing continues to progress well, and we are on track to stabilize mid-2026, earlier than projected. Prospects and residents are drawn to the building's premier waterfront location, best-in-market views and modern finishes. As the newest residential property within the Harbor Point District, Allied offers an unmatched living experience, it complements the surrounding retail office and entertainment uses, reinforcing its appeal as one of Baltimore's most desirable addresses. At Greenside in Charlotte, remediation and enhancement work to address water intrusion in several units is progressing in phases as we have previously disclosed. The effective units I mentioned a few minutes ago, are obviously an upside opportunity once we conclude this project. These improvements will further strengthen the property's quality and long-term value, supported by its prime location near major medical and innovation districts in Charlotte. Looking ahead, we see multiple avenues to drive FFO growth across our portfolio, guided by a disciplined capital allocation framework. Strong leasing momentum and a high return redevelopment pipeline allow us to capture rent growth and enhance property value through proactive renewals, backfills and targeted reconfiguration. At the same time, we pursue disciplined acquisitions through intentional capital recycling activity, focusing on projects to combine stabilized income with redevelopment potential where possible. By targeting markets where we can create a competitive advantage, including submarkets that exhibit very positive fundamentals beyond the typical Sunbelt trade areas where pricing is being good up, we leverage our leasing and operating expertise to unlock value, ensuring that each investment is accretive in the near term and drives long-term portfolio growth. On the capital front, we remain focused on enhancing flexibility and mitigating balance sheet growth. Our July debt private placement, raising $115 million reflects continued confidence in the quality of our portfolio, our management team, our strategic approach and the overall strength of the company. The proceeds bolstered our liquidity position, extended our weighted average debt maturity and were used in part to fully repay the construction revolver at Southern Post, further positioning us to navigate evolving market conditions with confidence. We continue to focus on generating an increasingly conservative balance sheet, targeting reduced leverage, ensuring ample liquidity to fund ongoing redevelopment and growth initiatives. This disciplined capital structure provides flexibility to act on attractive opportunities while preserving balance sheet strength and stability. We plan to continue expanding relationships with institutional credit investors, supporting long-term growth and maintaining financial optionality. We remain focused on value creation through disciplined execution and intentional capital allocation. From retail leasing to office occupancy stability and multifamily lease-ups, we are building a stronger, simpler and more resilient Armada Hoffler, capable of generating consistent, predictable earnings growth. I am proud of the momentum we have generated and confident in the team's ability to deliver sustained, reliable earnings growth while enhancing shareholder value. With that, I'll now turn the call over to Matt to provide additional detail on our financial results.
Matthew Barnes: Good morning, and thank you, gentlemen. Armada Hoffler delivered a strong financial quarter as expected, underscoring the consistency of our operating platform, the quality of our diversified portfolio and the continued execution of our capital strategy. With our balance sheet repositioning well underway and fundamentals stabilizing across our commercial assets classes, we entered the final quarter of the year from a position of strength and operating flexibility. For the third quarter of 2025 normalized FFO attributable to common shareholders was $29.6 million or $0.29 per diluted share, slightly above our expectations and full year guidance. FFO attributable to common shareholders was $20.2 million or $0.20 per diluted share. AFFO came in at $19 million or $0.19 per diluted share, demonstrated continued alignment between our operating cash flows and the restructured dividend. Same-store NOI for the portfolio increased 1% on a GAAP basis. Our performance this quarter demonstrates the benefits of a simpler, more durable capital structure and disciplined execution by management across our portfolio. As of September 30, 2025, net debt to total adjusted EBITDA stood at 7.9x, stabilized portfolio debt to stabilize portfolio adjusted EBITDA stood at 5.5x. Total liquidity for the quarter is $141 million, including availability under our revolving credit facilities. AFFO payout ratio stands at 74.9%. And after adjusting for noncash interest income, the ratio was 93.9%. Our portfolio weighted average interest rate remained consistent at 4.3%. Our diversified portfolio continues to demonstrate meaningful strength, particularly across our retail and office holdings. Leasing pipelines remain active and collections and occupancy levels have remained resilient in each of our segments, respectively. As expected, our retail segment showed quarterly declines in same-store NOI, reflecting the temporary downtime resulting from tenant bankruptcies such as Conn's, Party City, Joann's and Bed Bath & Beyond. Same-store NOI decreased 0.9% on a GAAP basis and 2.5% on a cash basis. These near-term results are consistent with our strategy to create long-term value through tenant credit enhancements and capital upgrades where returns can be achieved. With over 85% of this space already under lease or LOI, we anticipate realizing initial returns on our backfill efforts beginning in Q4 of 2025, continuing into 2026 with full economics and over 20% rent growth achieved by mid-2027. Releasing spreads on renewed leases remained healthy at 5.7% on a GAAP basis and 6.5% on a cash basis, demonstrating continued tenant demand for retail space in a supply-constrained market. From a broader market advantage, fundamentals remain supportive for retail. In the office segment, we continue to see exceptional occupancy levels at 96.5%, a modest improvement from last quarter, strong renewal spreads at 21.6% on a GAAP basis and 8.9% on a cash basis, albeit on a small amount of space that reflects the value for our premium assets in desirable locations. Our office segment posted positive same-store NOI results at 4.5% on both a GAAP and cash basis. By focusing our capital and operational efforts on retail assets with dominant demographics, proven tendency and strong in-place cash flows combined with office assets to reflect the flight towards quality and the margins for renewal upside, we are well positioned to capture our residual growth as the broader market conditions normalize. In short, the intersection of internal execution that is asset level leasing, cost control and capital reinvestment and the external tailwinds of limited new supply in retail, improving select office fundamentals, investor capital returning to quality real estate gives us confidence in the durability of our cash flows going forward. Corporately, we continue to manage expenses tightly. G&A remains on track to be materially reduced year-over-year, reinforcing our focus on efficiency while maintaining the resources required to execute on managing our assets and redevelopment opportunities. As you all know, we have and are taking the appropriate steps to rightsize the construction entity, aligning its workforce with current backlog levels, making fiscally responsible decisions for shareholder value. Capital markets remain selective, and we are structuring our balance sheet to reflect that reality. With our debt private placement completed in July and our liquidity stabilized through prudent cash management, we have the ability to remain patient and disciplined as the cycle evolves. We are engaged with our lending partners and are looking ahead to the back half of 2026 and our respective pending maturities. Early indications are leading us to expect that once our 2026 outstanding debt has been refinanced, we will be able to achieve a portfolio weighted average interest rate slightly below 500 basis points. Reflecting the stability in our operating results and visibility into year-end performance, we are narrowing our full year normalized FFO guidance range to $1.03 to $1.07 per diluted share, reaffirming our confidence in the trajectory of the business. With that, I'll now turn the call back over to Shawn for his closing remarks.
Shawn Tibbetts: Thank you, Matt. I want to thank our team for their continued dedication to our shareholders and for their trust and support. Operator, we are ready for the question-and-answer session.
Operator: [Operator Instructions] Your first question comes from Viktor Fediv with Scotiabank.
Viktor Fediv: So I'd like to ask about the acquisition of at least 1 real estate financing asset Solis Gainesville. Since the asset is across the street from the Everly, we can already see some negative effects on both occupancy, which is more than 200 basis points down year-over-year and monthly rent, which also declined more than 11% year-over-year. So can you provide some insights into the expected going-in cap rate on this asset and potential synergies for managing 2 assets altogether and as well as your expectation for same-store NOI growth for both assets over the next 2, 3 years?
Shawn Tibbetts: Sure. Thank you for the question, Viktor. I think this -- the answer to the question starts about a year ago, we had signaled to the market that we would bring on to the balance sheet, not only Gainesville II but the Allure. So let's touch on Gainesville II first. Our strategy, our thesis there has always been, we want to run this asset combined with the Gainesville I asset, which is called The Everly or rebranded at The Everly. We think there are synergies there. We think it comes in to answer your question at or above our cost of capital, given that we are going to leverage synergies there, think head count reduction and a normal building as a result of running these together. I mean just rough, we think there's about 50 basis points of value there to be gained by us. In addition to that, as we see the new supply burned off, by the way, the new supply is ours. We'll see concessions burn off and therefore, we'll see some uplift, and we expect the positive same store to get there fairly soon after stabilization. So I think it's a good story. It's what we had intended to do for the past 12 months or so, and we're looking forward to it. Slightly different story for the Allure. We have seen some very strong bids in the market -- in that submarket as of late. And so we're in discussions with our partner about what's the best move given the kind of high bids for that type of asset, there could be a case where we either bring it on balance sheet, which we can do and would love to do or is the better opportunity cost equation to sell that in the open market and look for other deals with our partner there. So a little more to come there. That transaction essentially is going to be deferred until next year. So that's why you saw us pull that back from coming on the balance sheet here in the third or fourth quarter of this year.
Viktor Fediv: As a quick follow-up, so if let's say, this Allure asset is sold to third-party and loan is repaid before maturity? Will you receive any additional fees on top of that principle and what has already accrued?
Shawn Tibbetts: I think it's inappropriate for me to speak on that right now, Viktor. I think let's see what happens. We'll certainly recoup our capital and have a conversation with our partner about how to make the best deal there. But I think given where we are and what we're seeing in the market, we've still again, got an opportunity cost question here. The good news is we are very much in the black on that asset, which is great for both us and our partners. So more to come there.
Operator: The next question comes from Rob Stevenson with Janney.
Robert Stevenson: Shawn, just while you're talking about the real estate financing portfolio, how should we be thinking about the Kennesaw, Georgia loan in the asset as it gets closer to stabilization? Is that one also more likely to be sold in the loan repaid? Or is that one more likely to be brought in-house?
Shawn Tibbetts: Yes, Rob, I think that's an asset that probably doesn't fit our core strategy. So in addition to that, I think you'll see that -- you won't see us pursuing that one, per se. I think that will be sold as the answer to the question. So yes, that's not one we intend to bring into the pulp.
Robert Stevenson: Okay. And then beyond the $18 million or so in-progress redevelopments, any of the 10 or so other opportunities in the supplemental expected to start in the next couple of quarters? And how extensive are the costs associated with those opportunities?
Shawn Tibbetts: It's interesting. We've seen some attractive kind of projects there. We -- I think let me start by saying this, we are continuing to see development deal flow. It just doesn't fit the risk-adjusted spread. So our thesis is, again, back to the opportunity cost, kind of long-term value creation. We think that the capital is best spent on some of these captive projects. That being said, I don't see anything starting like fourth quarter, probably not first quarter, but our team is doing quite a bit of diligence on a few of these. I mean think outparcel, think older kind of '90s, 2000s vintage assets with large parking lots. We're taking a look at how do we use the real estate kind of under our control and create opportunities there for lift in the short run. So a long way of saying, we're looking at it. Our development team is looking at it hard. We meet about it actually weekly. But I don't think we know enough now to say we're ready to fire off the next one. That said, as you can see with the Trader Joe's, we're very excited about those types of opportunities and the list that they create.
Robert Stevenson: And then last one for me. How are you and the Board thinking about recycling assets and using the proceeds to reduce leverage and repurchase common stock. And when might be the right time to explore something with one or more of the Baltimore assets, et cetera?
Shawn Tibbetts: Yes. I think the answer is we are constantly or consistently thinking about that. Our job as capital allocators, as you know, is to think about the opportunity cost of that capital. So we -- as you may know, thought about an asset sale in Charlotte. We've got some strong bids, Providence Plaza, the challenge became what is the best opportunity cost like kind of equation for that capital. We saw rent growth climbing down in Charlotte, so we said let's hold on to that asset. But we are thinking about those things. You see us renewing for long-term anchor leases, so on and so forth, to lock in the value in some of these assets. And at the right time, we'll strike on deals that make sense. I don't want to say we're going to get into buyback land, but certainly, there's an attractive accretive opportunity there. I'm not sure that we'll take that versus long-term property -- kind of income-producing property. But yes, that's what we are doing right now, especially given the price of the equity and how that's trading in today's market. So a long way of saying opportunity cost is our main focus, and we are looking at all of the assets that we have to determine where we can create some arbitrage in terms of what the markets valuing our real estate at and what the broader market would potentially buy at.
Operator: The next question comes from [ Jamie Wise with CVU Capital ].
Unknown Analyst: First question is, could management discuss the annual cost of its interest rate swaps? And what are your plans going forward with the interest rate swap activity? Also, if you were to change your approach to buying the interest rate swaps and reducing your interest as a result of the swaps, how would that impact AFFO?
Matthew Barnes: Jamie, thank you for the question. So interest rate swaps obviously changed the pricing with the market at that time. We look at that essentially as a prepaid interest when you're looking at paying that to essentially come into the total cost of the debt over the long run. We renewed back this quarter some maturing swaps that we had, we renewed them slightly early as we came within our strike rate, the price that we felt would fit in with the interest expense that we wanted, total cost for full guidance. As I've talked about many times before, we are looking over the long term a transition in this balance sheet to long-term fixed rate debt. So we would work through that cycle to reduce the reliance on derivatives as we get those long-term fixed rate debt in place. And that's what we're going to be looking for, as I mentioned in my remarks, for those financings that are maturing in 2020 -- 2026.
Unknown Analyst: And one other question. Earlier in the year, you had mentioned that the dividend was stress tested for recessionary scenarios and also that you are expecting net debt to EBITDA to sort of end the year around the 7.4x area. I was curious if you could talk about that. Is this a dividend stress tested for 2026 and different sorts of interest rate scenarios as you look to do less hedging activity? And are those -- does management still hold by what it said earlier in the year?
Matthew Barnes: Yes, certainly. So as you can recall, we rightsized the dividend to make sure that our cash flows from the properties covered the distribution, the cash distributed out the door in the dividend. So we did that back earlier in the year and made sure that there was enough buffer there to stress test that dividend through the whole of the year, not just from a cash flow perspective, but also from the REIT compliance tax perspective as well. As you can see, there is a number of charts in our supplemental that show the dividend distribution compared to AFFO and AFFO less noncash interest expense. So as close to a cash number as we can provide and be transparent there.
Shawn Tibbetts: Jamie, this is Shawn. I think the answer to your question is yes. What we said in the earlier part of the year holds true. We stress tested that against many different scenarios as it relates to dividend. As it relates to the derivative positions, we are on a journey here. We've committed to the market that we want to continue to get into more pure fixed rate debt, hence, that kind of our placement of $115 million back in the middle of the year, back in the July time frame. And you're going to see us continue to navigate that journey. It won't happen overnight. But yes, I think the answer to the question is we want to move to a more pure fixed balance sheet over time, and we intend to hold that dividend and have the ability to do so plus or minus fluctuations in the market. I appreciate the question.
Matthew Barnes: And then, Jamie, to touch on the last bit of the question as it relates to leverage, we still have the full debt from the development pipeline on our books. And as we lease up the Allied and Southern Post leverage will come down over the next or the coming quarters.
Operator: The next question comes from Jon Petersen with Jefferies.
Jonathan Petersen: Maybe I'll just stick on the dividend. I'm just curious how you think about growing the dividend, right? If we're modeling over the next few years, should dividend growth tie out with AFFO per share growth at these levels? Or -- are you going to kind of pause on raises for a while to give yourself more of a buffer? How do we think about that?
Shawn Tibbetts: Jon, thank you for the question. I think -- we think about this in a conservative way, right? We just came off of a dividend restructure. And so we want to be prudent here. AFFO, as you know, for us, given the real estate financing platform is maybe not the best indicator sometimes in terms of dividends. So I think the short answer to the question is we'll raise it when we feel we responsibly can. To Matt's point, we don't want to go over dividend, and we also don't want to trip the taxability concerns on the downside. So we're looking at it. I don't know if we will grow as AFFO per se, depending on how big the real estate financing program is. But yes, we're looking at it. We will raise it responsibly, but certainly don't want to over-raise it too soon, especially given our recent journey. So I think you'll see it moving in the future. I don't think you're going to see us do anything in the next quarter or so just based on where we stand.
Jonathan Petersen: That's helpful. And then the $95 million term loan that's coming due next May. Should we think about proceeds from these financings that might be repaid is what will be used to pay down that loan? Or would you refinance it? How should we think about your plans there?
Matthew Barnes: Yes, certainly. So we have our primary credit facility, the revolving line of credit that matures the 1st of January '27, and the term loans associated with that primary credit facility the 1st of January 2028. So already engaged with the bank group, and we will look to both our side term loans to wrap them up in that primary credit facility. So we have a number of different options. We can always go back to the market and do another debt private placements, and get some long-term fixed-rate bonds there to replace that. We can wrap that into the primary credit facility or I'm sure our lending partner on that term loan that matures in May may want to reissue at those same levels. So many different options and yes, we've already reengaged with the partners to start working through that.
Jonathan Petersen: All right. And then last question for me, just on Allied Harbor Point. You said stabilization by mid-next year. It's already 67.6% lease. So I'm just curious, is it fully built out like could it be 100% occupied today? Or is there still some work to do to be able to lease that up to stabilization?
Shawn Tibbetts: So Jon, we're materially there. The challenge for us, and this is what we talked to the market about since -- since bringing this idea to fruition was balancing this equilibrium, not cannibalizing the 2 assets next door. So yes, it can be fully leased up. We're just very -- we're very mindful about not bottoming out our piece of the market there. So we said to the market back in September, we were looking at a roughly 24 months. Stabilization, to your point, we will probably hit that sooner. We just want to be conservative with what we're putting out there in case we need to hold rates, right? The economic equation is much better. We can hold the rates up and fill the building, take a couple of extra months and it would be kind of cannibalizing our own position in the other 2.
Operator: Our next question -- there are no further questions at this time. I will now turn the call over to Shawn Tibbetts for closing remarks. Please go ahead, sir.
Shawn Tibbetts: Thank you, and thank you all for joining us today. We appreciate our investors' partnership with us, both on the equity and the credit side, our partners who do businesses with us in these submarkets in each of our markets throughout the Southeast United States. Thank you to our team. Thank you to our Board. We appreciate your attention to our story. We look forward to continuing to create value for the long run. Thank you very much, and have a nice day.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.